Operator: Good afternoon, and welcome to the S&W Seed Company Reports First Quarter Fiscal Year 2016 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I now would like to turn the conference over to Robert Blum of Lytham Partners. Please go ahead, sir.
Robert Blum: Thank you, Laura. And thank you all for joining us today to review the financial results for S&W Seed Company for the first quarter of fiscal year 2016 ended September 30, 2015. With us on the call representing the company today are Mr. Mark Grewal, President and Chief Executive Officer; Mr. Matthew Szot, Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of S&W Seed Company during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events or results to differ materially from those projected in the forward-looking statements, including the risks that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in the company’s 10-K for the fiscal year ended June 30, 2015, and other filings made by the company with the Securities and Exchange Commission. With that said, let me turn the call over to Mark Grewal, Chief Executive Officer for S&W Seed Company. Mark?
Mark Grewal: Thank you, Robert; and good afternoon, all of you. Before we begin, let me just say thank you to all the brave men and women that have served. We appreciate the sacrifices they have made and the courage it takes to defend our country. So thank you very much. Overall, I am pleased with the results of the first quarter. We continue to successfully execute on our business plan and again traction in achieving our goals. The 50.1% revenue growth that we saw in the first quarter was driven almost entirely by organic non-dormant operations, where increased demand for alfalfa seed varieties and improved pricing is resulting in favorable market conditions. We believe these trends of improved demand and pricing will continue into the near future. In addition to the near-term opportunities and trends S&W is uniquely positioned to capitalize on the longer-term global trend of increased protein consumption in a large number of developing countries. S&W is truly a global company with distribution capabilities that extend to nearly every region of the world, and has become a dominant player in the fourth largest crop grown annually around the world. Last quarter, I talked about our dedication to strategically building this business over the last number of years into a true market leader within the alfalfa seed segment. The core of the strategy is to build upon four key strategic pillars: a strong product portfolio; leading-edge research and development; a large and diversified production base; and global distribution. Our alfalfa seed products continue to be amongst the leaders in the industry in addressing the issues that farmers face on an ongoing basis, including yield, salt, drought tolerance, quality and nematode resistance. Our diverse product portfolio of dormant and non-dormant varieties allows us to meet the needs of customers in nearly every region of the world. From an R&D standpoint, the integration of the internal Pioneer breeding program with S&W’s existing breeding program helps to leverage the capabilities of two of the industry leaders. We are also focused on collaborating with key biotech companies in the market including Calyxt and Bioceres to develop next generation traits that will expand our market share. Additionally, we are working with Monsanto, Forage Genetics International and Pioneer to develop and commercialize biotechnology varieties containing the soon to be introduced reduced lignin, carb-extra alfalfa with Roundup Ready technology trait. We will stay dedicated to bring into the market the very best alfalfa seed varieties that we can. Again, we are building this business for long-term sustainable growth. And our initiatives with our R&D program will certainly help to lead us there. From a distribution standpoint, we continue to benefit from our global distribution platform that allows us the ability to sell more than 30 countries - sell to more than 30 countries across the globe. This has allowed us to be in a much better position to withstand many of the nuances that occur within selected markets and is allowing us to benefit from many cross-selling opportunities as we begin to introduce our acquired dormant portfolio of products outside of the traditional U.S. Corn Belt region where Pioneer has focused. As we look to the future of S&W over the next number of years, our distribution platform will certainly become one of our key assets. Many of the distributors that we work with are looking for complementary crops that they can sell to their farming customers and are increasingly asking us about our capabilities in this area. In the past, we have talked about these opportunities and are certainly exploring them as we look to grow the S&W business going forward and beyond alfalfa. We are currently in an environment where the demand from our customers is strong and we are actively looking to expand our production and sourcing capabilities to meet this demand. As we mentioned last quarter, our harvest out of Australia was lighter than we anticipated. And while we are still in the cleanout phase of our U.S. harvest, it appears that the yields are lower than anticipated here as well. The net effect is that we are short on many of our highest margin seed varieties. The demand for seed from our customers remains strong. However, we may fill that demand with a higher percentage of source seed, where the cost of sourcing may have an impact on gross profit margins for that portion of the seed that’s sold. These types of farming yield variances are unfortunately outside of our control. The variances that we see this year rarely have an effect on what we will see next year. We have done a very good job of diversifying our production base to limit the potential effects. And as mentioned, we are building this business for long-term and the variances we encounter each year certainly have no impact on our overall strategies to increase gross margin and drive organic revenue growth in future years. As we look to next year, we are making very good progress to expand our production acreage, which is a key driver to our long-term growth plans. As we look to the calendar year 2016, which would include the harvest out of Australia in March through May of 2016 and the U.S. harvest in July through September of 2016, we are currently estimating that we will increase our production acreage by approximately 8%. We see our dormant acres increasing by about 13% and our non-dormant acres increasing by over 6%. Please note, this does not take into effect any of our sourcing arrangements that we have in place and traditionally accounts for about 20% to 25% of our global supply each year. This increase in production acreage will be a key driver to our growth opportunities over the next couple of years. I would like to thank the entire production team for doing a fantastic job in securing this additional acreage this year, and know that they will continue to successfully execute on these initiatives on a go-forward basis. And one final point I want to make, a key factor to take into consideration when we look at our production for calendar 2016 as compared to 2015 is the low yields that we saw this past year. If we are able to see yields return to a more normalized level, we would expect our available seed to increase beyond that 8% acreage increase number mentioned a moment ago, and be of our highest margin varieties, which will allow margins in the future to improve. While we cannot have certainty on what the yields might be, we are driving this business for long-term sustainable organic growth by expanding our acreage and diversifying our production areas and products to be the leader in alfalfa seed markets for many years to come. Overall, the integration of the DuPont Pioneer operations is going very well. The team of professionals that were brought onboard are leaders in our field and have been instrumental in carrying out the strategic plans that we have. Our demand plan from Pioneer for fiscal 2017 is expected to remain comparable to fiscal 2016, providing us with a strong, stable customer and high-level predictability of visibility to our annual demand more than 18 months out. With that said, let me turn the call over to Matt Szot for a review of the quarterly results. Matt?
Matthew Szot: Thank you, Mark, and thank you everyone on the call today. Since most of you should have a copy of the financial results in the press release, let me spend some time going through some of the more pertinent details of the quarter and discuss some of the impacts to the financial model on a go forward basis. For the first quarter revenues increased 50% to $12.3 million, up from $8.2 million a year ago. As we indicated in our press release today, the $4.1 million increase in first quarter revenue was almost entirely attributable to an increase in sales in our organic operations which is our non-dormant operations, coupled that with an approximate $500,000 of incremental sales from our distribution and production agreements with DuPont Pioneer. The organic operations increased by approximately 44% during the first quarter as compared to the first quarter a year-ago due to the strong demand from our customer base. This organic revenue growth for the quarter comes on the heels of the 22% increase in organic revenues during the fourth quarter of last year. Clearly, we’ve seen an increase in demand for our products. Adjusted gross profit margins during the quarter were 18.2% compared to gross profit margins of 16.1% in last year’s first quarter. The increase in gross profit margins largely reflects improvement in seed pricing, offset by product mix as we tended to sell more of our lower margin seed during this first quarter. Due to the below average harvest out of the U.S. gross margin for the year could potentially be slightly lower than we had originally anticipated as we need to source more seed to meet the demand for our customers. SG&A for the first quarter totaled $2.5 million compared to $1.8 million for the first quarter of the prior year. The increase was primarily due to the newly acquired DuPont Pioneer operations and the cost associated with the integration. During the quarter, R&D was approximately $690,000 compared to $223,000 in the first quarter of the prior year. To remind you, we will continue to invest in our robust research and development program that acquired from Pioneer. This will enable us to drive growth on a go-forward basis. I’d like to pause here to stress a quick point, the first quarter was almost entirely comprised of sales from our organic operations with only a small revenue contribution from Pioneer, and that is consistent with our expectation during the seasonality of the business. We incur a majority of the operating expenses on a rather straight line basis throughout the year, which includes SG&A, R&D, and depreciation and amortization. So as we look to our financial result, please note the improvements in our organic operations during the first quarter have to take in to account of Pioneer expenses. As we previously discussed, we funded the upfront payment of the Pioneer acquisition with a financing that consisted of convertible debt with warrants and a private placement of common stock to raise a total of $31.7 million in gross proceeds. We issued $27 million of secured convertible debentures and $4.7 million of common stock. Through today we’ve made principal repayments of approximately $9 million, so the remaining balance is approximately $18 million. We are can focused on continued debt reduction. We incurred approximately $696,000 in cash interest expense during the first quarter of the convertible debenture and other obligation. As we continued to pay down the notes, we expect that cash interest number to steadily decrease over the remaining term of the note. These numbers assume no conversations and we are servicing all the convertible debt in cash. On the last few calls, we also talked about non-cash interest expenses related to the accretion of the debt discount associated with derivate warrant liabilities and the amortization of debt issuance costs. Under the effective interest method, non-cash interest expense is front-loaded and decreases as principal of paid down. On the income statement, you will notice a line item called interest expense, amortization of debt discount. That line item combines both the accretion of the debt discount associated with the derivative warrant liabilities and the amortization of debt issuance cost. During that quarter, that number was $906,000. In fiscal 2016, these non-cash charges should totaled approximately $2.9 million and $1 million in the final year. Again, this was steadily decreased over the remaining term of the note. We also had a non-cash gain in the quarter of $539,000 related to the change in the fair value of the derivative warrant liability and $95,000 gain and the change in the fair value of our contingent consideration obligation. These changes are strictly a function of the GAAP requirements from mark-to-market the estimated fair value of the warrants and contingent consideration. Going forward, we will continue to record gains or losses to the P&L, on a quarterly basis, driven by the changes in the estimated fair value of these items. Adjusted EBITDA during the first quarter was $600,000 loss, compared to adjusted EBITDA loss of $480,000 during the first quarter of last year. As I mentioned earlier, we incurred certain expenses pertaining to be acquired Pioneer operations and basically had a little corresponding gross profit associated with it. The benefit to these expand is will be realized over the remaining quarters of the year. Excluding these expenses, our organic operations would have operated positive adjusted EBITDA for the quarter. Non-GAAP net loss was $1.7 million or $0.12 per basic and diluted share, compared to a loss of $874,000 or $0.08 per basic and diluted share in the first quarter of last year. Again, this backs up certain non-recurring one-time expenses as well as non-cash gains and losses. Now, let me spend a little time discussion our inventory balances before turning the call back over to Mark. Regarding inventory we ended the quarter was approximately $46 million of inventory on hand compared to $25 million at the end of June. The increase from June pertains the harvest that came out of the United States for both our non-dormant and dormant operations. As we sell seed throughout the next two quarters, these balances were steadily decrease being up to our 2016 Australian harvest. As I mentioned earlier, we believe there are strong demand in the market for seed and we are focused on sourcing as much as possible. As usual, I know we want through a lot of data here, so if you have any questions, please feel free to ask. I’ll now turn it back over to Mark.
Mark Grewal: Thank you, Matt. Fiscal year 2015 was a transformational year for S&W Seed Company. It has set the stage for fiscal 2016 in the years to come to produce strong and sustainable results. Our demand plan with DuPont Pioneer remains strong; and then coupling that with a strong non-dormant market, and increased production acres, we believe that fiscal 2017 and beyond has the opportunity to even be better. As always, we thank you for your support. And now let’s open up the call for your questions. Laura?
Operator: Thank you. [Operator Instruction] And our first question comes from Tyler Etten of Piper Jaffray.
Tyler Etten: Hey, guys, congratulations on the growth and legacy business this quarter. My first question would be are any of the sales that were realized in the first quarter being pulled through from the second quarter or meaning could we expect a weaker second quarter than what maybe you expected previously?
Matthew Szot: No.
Mark Grewal: Yes, I will stress that on an annualized basis we’re retaining our guidance of $95 million in revenues. So it’s pulled - whether it’s pulling from the second quarter or the third quarter. On an overall basis for the year, we’re still projecting roughly $95 million in revenues.
Tyler Etten: Okay, got it. And looking at the balance sheet, I noticed that there was a pretty big increase in the current liabilities. Could you just explain what that is from?
Matthew Szot: Sure. Well, that’s to be expected - in the United States our harvest occurs in the August, September timeframe. So at this point of time of year, each and every year we’ll see our highest levels of inventory and corresponding grower payables.
Tyler Etten: Got it.
Matthew Szot: So basically [indiscernible] September.
Tyler Etten: Okay. So, basically, a holding cost. Okay, so with the U.S. yield lower, do you think that the decrease in the expected margin is from shipping costs or is it from lower pricing later on, because of those lower yields or how exactly does that work?
Mark Grewal: It’s from higher - it’s from a little bit higher priced to go purchase the product and as the market continues to get tighter those prices will increase even more. So we’re outsourcing seed. We’re trying to do the best we can. We need a little bit more seed sourcing than we have - than we had originally planned, because of the lower yields. So the price of that product will be a little bit higher.
Tyler Etten: Okay. And then, it would be offset a little bit by improved selling price would that be correct or is that not exactly how it works?
Mark Grewal: Could be, but remember these first two quarters are really kind of set. When we get into third and fourth, the pricing advantages or the increasing we’ll have a more major chance of improving where we are. But some of this that we’ve already sold was already set in pricing. So as we go forward that will - what you’re saying will be a more reality than it is today.
Tyler Etten: Got it. Great. I will pass it on.
Mark Grewal: Thank you very much.
Tyler Etten: Thanks.
Operator: And the next question comes from Mike Malouf of Craig-Hallum.
Mark Grewal: Hey, Mike.
Unidentified Analyst: Oh, hey, guys. This is Ross on for Mike.
Mark Grewal: Hey, Ross.
Unidentified Analyst: Great quarter.
Matthew Szot: Thank you very much.
Unidentified Analyst: Great quarter, it’s nice to see that growth. So you said you had DuPont pretty much all set for 2017, and it was going to be roughly in line with what you’re expecting for 2016. And now is that the in line in terms of the amount of seeds sold or are you keeping prices steady. Can you give a little color there?
Mark Grewal: Well, I’ll let Matt add on some more color when I get done. But we have the ability to increase that price adjustment upwards to 4%. So we are not looking at - we are pretty well set on where we are with them and we’ve adjusted pricing. So we are looking at the number of units we can deliver on their demand plan. And so, we know what we’ve delivered, we’re working on acreage to make sure that we have the acres to continue with demand plan they’re requesting. It’s pretty consistent.
Unidentified Analyst: Okay. Got it.
Matthew Szot: Yes, we just - we want to just stress that we have visibility of Pioneer’s demand. It’s not only for this fiscal year, but next fiscal year as well. And we are encouraged by those demand plans.
Unidentified Analyst: Okay. And you said usually you source about 20% to 25% of seed. What do you think it’s going to come out of this year?
Mark Grewal: What actual price are you talking about?
Matthew Szot: I think he’s referring to what percentage.
Mark Grewal: What percentage of our crop? It could be 30%.
Unidentified Analyst: Okay. Is that sort of the target?
Mark Grewal: We didn’t have a target quite frankly that high. We usually are in the 20% range, but so we had to go out. So I would say it’s an additional 10% over our norm. We are also still cleaning the entire U.S. crop and we won’t to be done at the seed-cleaning facilities, especially in Nampa, Idaho until around the end of February.
Unidentified Analyst: All right.
Mark Grewal: But, we’re just estimating. This is an educated experienced guess on our executive group on where we think we are. And hopefully we are acting in a very prudent manner that’s to ensure what our clients need in the marketplace.
Unidentified Analyst: Okay, great. And just one last question, do you guys have any early indication on the Australian harvest for this upcoming year?
Mark Grewal: No. We’re way too early. Talk to us. That’s not even - that doesn’t occur till March, April, May. I’ll be travelling down there in February. So if we get - that’s when I go with - get with all the growers walk their fields and really get a handle on what they think and what we think. And we’ll start making side-debts [ph] on the yields [indiscernible]. So if we talk more back about that time then we’ll have a better understanding.
Unidentified Analyst: Okay, great. Thanks a lot.
Mark Grewal: You’re welcome.
Operator: And the next question is from Gerry Sweeney of ROTH Capital.
Gerard Sweeney: Good afternoon. Thanks for taking my call.
Mark Grewal: Hi, Gerry.
Gerard Sweeney: Quick question on the yield, obviously, was down in the quarter. It’s going to be down this year, but what’s the driver on the yield difference? Is this across the industry thing? Will we see some better pricing couple of quarters out? And what are the chances of the yield improving with, say, with the - in the next season or two?
Mark Grewal: We are seeing pricing increasing. And it’s slow, but it’s everywhere, across the globe. So it is increasing. But regards predicting yields, we have standard 30-year averages, and we are below those based on the weather that was - that occurred on - across the globe and two of our main production areas, and actually in three of them. So it’s just - it’s a very uncommon experience to have two areas down. In other words, if the Southern Hemisphere is down, usually the Northern Hemisphere is up or vice versa. But we hit some extremely hot weather at pollination time, some winds and some things, so we didn’t get complete pollination in some areas. And that resulted in a lower yielding crop. So to anticipate where we are, all we can do is continue to ramp up acreage and try to get a buffer in to enhance our capability of being the reliable supplier.
Matthew Szot: So at the end of the day, this was - it sounds like a weather-driven event, but…
Mark Grewal: There’s a little.
Gerard Sweeney: Okay. How much of a difference between the 30-year [ph] average and what you came out with this year as far as you can tell, I know…
Mark Grewal: I would say we are down like 20%
Gerard Sweeney: Okay. That’s the trend [ph]. Okay. Got it. Got it. This is probably a little off the reservation a little bit, but you think it’s something to do with El Niño or is that - I’m not sure if that’s a North American phenomena or what, but I mean that’s…
Mark Grewal: No, but real quickly if El Niño, if the warming of the Pacific Ocean currents continues normally we’ll be wet here. There will be a drought in Australia, but that is a timing of those range, and the planting and if they affect bloom or harvest. Harvest can really wreak havoc on a crop, but the other times of the year just reduce it or affect the pollination. So for us to say is there an effect yet or not, no, I mean it’s nice to see some wet weather in California. And we’ll just have to see where it goes. Now, sometimes instead of planting this fall in the West, in the Northern Hemisphere, guys will wait until the spring. And so we’ve got a long time to go to look at this before we know exactly how they start this. And then we’ll be able to talk to you about the finish.
Gerard Sweeney: Okay. That’s helpful. I appreciate it. Thank you very much.
Mark Grewal: You’re welcome. Thank you.
Operator: And our next question will come from Ian Gilson of Zacks Investment Research.
Mark Grewal: Ian?
Ian Gilson: Hi, good afternoon, gentlemen. Thank you very much. I’ve got a couple of questions on the balance sheet as usual. The crop production cost went to zero. I know it’s a relatively small number, but what was rationale behind them?
Matthew Szot: So, Ian, we have completely exited all internal farming operations and that is why you don’t see those crop production costs in the balance sheet at the end of September.
Ian Gilson: Okay. In the reverse side, the deferred revenue number, which was zero at the end of the year, increased substantially?
Matthew Szot: Correct. And that is directly attributed to the Pioneer agreement. We were certainly happy that Pioneer wired us $14 million in advance of us shipping any product. They sent a payment into us in September. And we’ll start resuming shipments from really sort of in the December timeframe. So that’s what that reflects. It’s just the prepayment from Pioneer.
Ian Gilson: Okay. Mark did mention that the gross profit margin increase. But if I am looking at the right numbers, it in fact was a 16.1% versus a [indiscernible].
Matthew Szot: And so our adjusted gross profit margins for the quarter, we’re at 18.2% versus 16.1% in the prior year. Now the adjusted gross profit margins for the quarter exclude a $260,000 loss on non-seed crops that is still in relationship to that farming operation that we’ve completely exited a fact of September.
Ian Gilson: Okay. So basically on a GAAP basis you got a couple of percentage points of gross margin coming out that has nothing whatsoever to do with the sale of seed.
Mark Grewal: That’s correct. And that’s a one-time event.
Ian Gilson: Okay. Can you give us a quick update on the new areas at Southeast Asia business which you’ve been looking into, and also the expansion in a non-dormant up by Canadian border?
Mark Grewal: So, I think it’s a little bit too early we’re working on - we’re working on entering south, we have trails for example on Vietnam, we have trials that we’re working on and hopefully that we will get it some point like in the Philippines and places like this. We are continually working into our co-corporation with Bioceres on adding seed down to that joint venture to sell into Argentina. And of course, we’re always looking at specific Northwestern candidate to increase and ramp up acreage as we move forward and get those contracts. So, we really like to start with knowing we have the demand from the distribution area and then go out and clean that acreage is not the other way around, and so sometimes we’re little bit slower to get what they actually want on the total, because we’re waiting first to make sure that we have the production that will be sold upfront.
Ian Gilson: Are you already selling into Southeast Asia?
Mark Grewal: We only have one load in the China, to my knowledge a portion of that’s been sold. I do think it will slowly increase the phenomenon now that’s been happening quite frankly around the world and lot of these countries is, because they don’t have the variety selection that we have here as far as quality. They tend to want to actually come in and lease ground in different areas and grow the hay in those new areas and then export it back to their countries for their dairies. And there is a lot of that right now and you can read a lot of it on the papers almost every week, but the seeds being sold somewhere and it’s still going into those countries in the form of baled hay.
Ian Gilson: Okay. And last but probably not least, what are we doing with stevia?
Mark Grewal: We’re working, we just completed all of the data collection for the third patent, and so that I haven’t heard from our patent attorneys as far as if that, when that will go in for patent pending, but is close. And we’re actually started on the data collection on the fourth patent.
Ian Gilson: How about actual production or sale?
Mark Grewal: There is no actual production right now, until we know we have those patents in hand then we will start contracting likely the seed into those areas and our do some type of royalty deal with other companies. We are doing a lot more consolidation in the Nampa area we pursue, we set up the greenhouse there. We’re going to be moving the production from Ontario into Nampa, and consolidate and eliminate a few satellite operations in the Hanford area and over there that will actually reduce the cost of our research in those areas. But we’re still very strong on the plants that I would suggest if you really want to see it for your first time, please come up and you can walk to fields and you can taste it, then you will see that, we’ve made some vast improvements on the taste profile and the yield capability of what we are dealing with.
Ian Gilson: Okay, great. Thank you very much.
Mark Grewal:
.:
Operator: And our next question will come from Frank Smith of Investment Group Management.
Matthew Szot: Frank, how are you doing?
Frank Smith: Hey guys, great. Excellent quarter, as you may get some excellent progress. Just kind of couple questions, what is the total employee count now, with S&W?
Mark Grewal: It’s around us between 70 and 80 at any given time depending on harvesting milling operations. And again what’s going on in seasonal, but we’re in the low 70s with actual base full-time.
Frank Smith: Okay. And then you were saying about the sourcing. It ranges 20% to 30% per year, correct?
Mark Grewal: It can. That is correct.
Frank Smith: So, is the goal to get to where we’re the sourcer and there is - we’re not sourcing anything, is that the idea?
Mark Grewal: No. You want to always have a little piece that you contract out in case of a disaster or something. So, what you want to do is always ensure your basic line - is all taking up and then outside resource and outside contract, Frank.
Frank Smith: Okay.
Mark Grewal: So at my old operation we used to use a rule of thumb of 70% internal, 30% external. But here, we’re actually trying to ramp that up more of an 80-20. We’re trying to at least 80% total reliability, where we go out to search 20%, a little bit out of kilter, where are these 10% out of kilter where we really want to be.
Frank Smith: Okay. Have you found competition increasing or decreasing in the whole industry?
Mark Grewal: In what way, in proprietary? In proprietary, true. Proprietary varieties, there’s three big players, but they’re just three big players: us, Forage Genetics International and Alforex, the Dalos [ph] that’s the three proprietary companies. They’re all healthy. They are all working well, and we worked pretty well together. In the non-proprietary, which is a big market, there is a lot of competition and that’s where you get - sometimes you get down and dirty, and you work it hard on those lower end pricings, but that’s where the public varieties come in. And as they get tight supply, that’s where you’re really increase on pricing starts to really ramp up quickly.
Frank Smith: Okay. So looking forward like over the next year or too, what would be a big catalyst to drive the bottom line here, is it just good weather or around…
Mark Grewal: Our big catalyst is to increase acres
Frank Smith: Okay.
Mark Grewal: And that will help us to set up our forward distribution for increasing our margins which will decrease the purchasing of outside product that we made have anticipated to be at a different price than what we really wanted it at.
Frank Smith: So you’re talking about future expansion?
Mark Grewal: Well, okay. Here, real quick, if we can optimize and we got a really big Australian crop, your margins are going to be enhanced. If we have to use less component of Australian seed in the optimization program, you’re using higher price seed in that mix, your margin goes down.
Frank Smith: Okay.
Mark Grewal: Okay, that’s what happening. We have a short Australian crop, so we’re having the substitute with California seed and others that’s higher-priced product in the mix.
Frank Smith: Great.
Mark Grewal: Okay.
Frank Smith: Okay. That makes sense.
Mark Grewal: Matt doesn’t [indiscernible]. I’m not going to speak for Matt. He can, but he doesn’t think it’s going to be that much, but we want to make to everybody understand, so we’re going to have a slight impact on margin
Frank Smith: The potential, yes?
Mark Grewal: That’s correct.
Frank Smith: Okay. Well, when we jump off here and let anyone else to ask a question. Good luck for the rest of the year.
Mark Grewal: Thank you, Frank.
Frank Smith: Yes.
Operator: And next we have a follow-up question from Gerry Sweeney.
Gerard Sweeney: Yes. A quick follow-up question just you talked about complementary crops and expanding this more of curiosity than anything, but what would they be and what’s the timeline, is that a two or three years down the line or is that something sooner, do you had raise on something just wanted to sort of score that all?
Mark Grewal: We now we have stevia and we’ve always been working hard on it. We do have some small field plots all the way to super markets that the Australians have got entered into quinoa and chia. We’re looking at healthy crops and forages that are compatible into our direct distribution roots that we work in. So there is going to be some opportunities as we go forward, we’re very good at some of them. For example, we used to do all of the RSI to sum-by [ph] Syngenta’s triticale business. We claimed it all at five points, we grew a lot of the seed those are the type of businesses that we are experts in, can jump in right away, clip royalties, put amount to same train or ship and ship them to the same distributor. So, we’ll slowly as we perfect - we’re first going to perfect our core business. Once we know we’re over there and it’s on autopilot, we’ll move forward and start adding to that portfolio.
Gerard Sweeney: Okay, got it. I appreciate it. Thank you.
Mark Grewal: You bet.
Operator: And the next question will come from Keith Gill [ph] of Carter, Terry & Company.
Unidentified Analyst: Hi, Mark. How are you doing?
Mark Grewal: Hey, good. That’s a long name of the company you’re at now, Keith.
Unidentified Analyst: Call it Terry, I don’t know, it’s kind of…
Mark Grewal: Sounds like a law-firm to me.
Unidentified Analyst: Regarding Monsanto, the Roundup Ready trial crop that you have, when would that be approved by Monsanto for commercial sale?
Mark Grewal: Okay. Well, I’ll tell you this, I’ll be in Minneapolis on the 17th or the 19th - 20th of this month. So we’re working on the licensing and those types of things, royalties, but we’re very close. We just harvested our two S&W varieties and so now we need to make sure they meet all of the data requirements as going through the breeders. If they approve that, in theory, we would have one S&W variety actually going into added acreage and commercialization this next spring, March April May, something like that. And so a year from right now, from today, we would have our first commercialized sales in an S&W variety. And the following year, we would have the second one. Now at the same time, remember, we’re already in that process with Pioneer. So Pioneer is selling Roundup Ready that we’re producing for them. So now we want to do is expand those and extend those, and add what’s called stacking. Stacking, licensing, so we can have more than one trait in the breeding program. So we gave an example on today’s talk of you have Roundup Ready and we like to add when it’s approved by these groups low-lignin. So you would have a low lignin and a Roundup Ready stack in the same plant that would go out into the U.S. domestic, in a marketplace for improved quality and to combat some certain weed type problem. So we’re moving as fast as we can. We are in active negotiations with these companies and we’re on very friendly terms. So it’s not that we want to make sure that all our data is correct, and that went we put out a variety that it’s going to perform exactly how we expect it to perform in the S&W platform.
Unidentified Analyst: Outstanding and what would be an update on the status of the first two Stevia patents filed last year December?
Mark Grewal: I don’t know. Feel free to call our patent attorneys. I don’t know yet. They should be here anytime, Keith. I don’t know. I don’t have any data on it. I can’t answer that.
Unidentified Analyst: All right, and last but not least, I missed this part, but the cash position as of the end of the quarter?
Mark Grewal: Matt?
Matthew Szot: Yes, Keith, we ended the quarter with a solid $8.4 million of cash at the end of September. Now, it’s primarily driven by the advanced payment we received from Pioneer.
Unidentified Analyst: Okay.
Matthew Szot: [indiscernible] of that consequently…
Unidentified Analyst: And, just lastly if I may, Mark, Matt, I guess, you guys are pretty excited to see Cellectis. That was the company that helped cure that little girl of leukemia.
Mark Grewal: It’s a very solid company. We’re very proud to be associated with them in research and development. They’ve got a very excellent team that I’ve always been impressed with and we’re glad that we have the ability to do a collaboration agreement in alfalfa.
Unidentified Analyst: Is it too early to comment on where you are with them at this point?
Mark Grewal: Well, I would expect to have something in the field to test within 18 months.
Unidentified Analyst: And can you comment on the traits that you’re trying to incorporate with them?
Mark Grewal: They are standard traits, but we’re trying to do gene editing with TALEN. So what we’re hoping to do is create some trait developments that are very important to growers that would be considered non-GMO.
Unidentified Analyst: Is it really something like Roundup Ready?
Mark Grewal: Don’t know if we’ll go there first, more like maybe a low-lignin or a trait, delayed bloom, some other traits where they could reduce their harvesting costs and at the same time increase quality to their dairy calves.
Unidentified Analyst: Outstanding. Thank you very much.
Mark Grewal: Thank you, Keith.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Mark Grewal for any closing remarks.
Mark Grewal: Thank you, Laura. We are very pleased with the progress made over the quarter with an eye towards building this business over the long-term. Our markets are strong as we are seeing increased demand, especially within our key non-dormant markets. Our demand plan from Pioneer DuPont remains strong. We have made very good strides in expanding our production base, heading into next year, which should be a key driver to continue growing our operations organically. And with the number of R&D initiatives in place, we believe that we will stay at the leading edge of product development with our first ever S&W Round Ready variety set for commercial sale in calendar 2016. We are better positioned to take advantage of the long-term trends of increased protein demands across the globe. Again, my thanks to everyone for participating on today’s call. We look forward to talking with you again at the conclusion of the current quarter. Please have a great evening. Good night.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.